Operator: Ladies and gentlemen, greetings and welcome to the Rumble Second Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Shannon Devine, Investor Relations. Please go ahead.
Shannon Devine: Thank you, operator. I'm here today with Chris Pavlovski, Founder, Chairman, and CEO of Rumble; Brandon Alexandroff, the CFO; and Tyler Hughes, the COO. A press release detailing our second quarter 2024 results was released today and available on the Investor Relations section of our company website. Before we begin the formal presentation, I would like to remind everyone that statements made on this call and webcast may include predictions, estimates, or other information that might be considered forward-looking. All forward-looking statements are made only as of the date of this webcast and should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC. Future company updates will be available via press release and company updates via the company's identified social media channels. I will now turn the call over to Rumble's Founder, Chairman, and CEO, Chris Pavlovski.
Chris Pavlovski: Thank you, Shannon. As indicated by our results, the second quarter is solid and early signs in the third quarter are starting to get me very excited about both our Video and Cloud businesses. The Rumble Video platform is now at a stage where I believe our user interface and user experience are becoming comparable to YouTube. The tools we've built to monetize the platform are starting to work and accelerate. Even with advertising boycotts and artificial headwinds, which I will explain it more later, we were able to grow our users, ARPU, and revenue with our shift and organizational focus to revenue, I previously committed to introducing average revenue per user, or ARPU, as a key business metric this year, better reflecting management's evolving assessment of our business. This quarter, we took that step and introduced ARPU for the second quarter ARPU was $0.37, representing growth of 19% versus $0.31 in the first quarter. Additionally, our 53 million MAUs this quarter represented our 10th consecutive quarter of MAUs, over 40 million in growth over the first quarter of 2024. As you may have seen, it has been a very busy few weeks in the advertising world. A few weeks ago, an investigation by the House Judiciary Committee Chairman, Jim Jordan revealed a troubling conspiracy centered around an initiative called the Global Alliance for Responsible Media, known as GARM. Under the guide of setting a brand safety standard to govern advertising purchase decisions, GARM effectively created an advertising cartel more powerful than most of the media buying agencies in the world. The so called standards were, in fact, agreement among competing advertisers and ad agencies not to advertise with sites like Rumble and X, which has clearly created an artificial headwind for our business. Last week, we filed an antitrust lawsuit alongside X, alleging that these actions are unlawful collusion that harms competition. As a result of this activity, I am very pleased to say that it was reported last Thursday, two days after we filed our lawsuit, that the World Federation of Advertisers said that it's suspending the operations of GARM. This is a very big step in the right direction, and it cannot be understated. That's not the only step in the right direction. Last week, a federal court ruled in favor of the Department of Justice in its antitrust lawsuit against Google. Everyone has known it for years, but now a court has finally ruled that Google is a monopolist who has harmed competition. This decision bodes well for our two antitrust lawsuits against Google, both of which build on DOJ's work. If I can be candid for a moment, because of GARM activists, attracting brand advertisers has been more difficult than anticipated, which can negatively affect ARPUs' rate of growth. The fact that we have been put in this position makes me sick to my stomach. Our users deserve better. Our creators deserve better. Frankly, we all deserve better as a society. There are millions of creators out there who have a voice valued opinion and want to be heard. Other companies, including News Corp, have also disclosed that they have been harmed by GARM and the existence of these coalitions of bad actors trying to put an artificial and sweeping stranglehold on the economics of advertising should concern everyone. Despite the headwind with brands, we continue to make strides with direct response advertisers and we were still able to grow revenue in ARPU in the second quarter. I'd like to walk you through an example which highlights how advertisers have leveraged the full capabilities set across Rumble Advertising Center known as RAC and our creator sponsorships. Sticker Mule, a global e-commerce business focused on customized products, has tripled its investment into Rumble Advertising. This partnership started with a six-figure test campaign with our sports properties to drive awareness and sample our premium creator sponsorship to test performance. After a successful test campaign, in fact, one creator converted so well that the Sticker Mule website went down. We were able to expand our partnership to seven figures. Sticker Mule then doubled down on the creators who over-indexed on performance and built the drumbeat of awareness via RAC pre-roll and display ads. The ability of our sales team to work with clients on a multi-format campaign via pre-roll display sports and creator sponsorships gives us a unique advantage to bring a new value to advertisers. Additionally, the opportunity for advertisers to cast a wide net across a variety of creators and optimize based on performance is precisely the value that our new Rumble Studio monetization tools will bring as that product continues to scale. To summarize, Rumble's revenue through RAC is growing with direct response advertisers and not yet with brands. If boycotts end and brands start spending, we expect to see a material positive impact on revenue and ARPU growth. With respect to the election cycle, early indications are pointing towards much better engagement than we saw in 2022. According to Stream Charts, a third-party measurement service in July, Rumble saw a 34% increase in average live stream viewers month-over-month. Additionally, Stream Charts also reported that we set a record for concurrent U.S. livestream viewers during the debate between President Biden and President Trump in late June. Due to the strong engagement in July, we have seen an early but promising adoption of Rumble Premium, a subscription service that removes ads on videos. Turning to Cloud. The excitement for Rumble Cloud is starting to take hold. Although it is much different and has a much longer sales cycle than Rumble's Videos business, the pipeline and initial success of lending customers have our teams very energized. Initially, the expectation was that Rumble would land customers primarily in the parallel economy segment, and we have with customers like Trump Media & Technology Group. In the second quarter, we also announced that PublicSquare will migrate to our platform, along with others who share the same mission as Rumble. Most notably, though, we recently landed a different kind of customer, one that wasn't driven towards us by our mission, but instead by our capabilities and economics. Moments ago, we announced that one of the premier NFL franchises, the Miami Dolphins, will migrate to the Rumble Cloud. This is evidence that the Rumble Cloud is more than just a valued asset of the parallel economy, and there is a broader desire by major businesses to use our service. It doesn't end there. We haven't been shy about our ambition to go after large customers for our cloud, which now includes governments. You may have heard of Google Cloud's recent announcement with the El Salvadoran government for a $500 million strategic partnership to modernize the country's IT services. Recently, I had the pleasure of meeting multiple times with the newly elected Prime Minister of Macedonia, where we discussed the possibility of Rumble Cloud's direct involvement in their country's digital transformation efforts, similar to what was done in El Salvador. To our delight, Prime Minister Mickoski recently publicly shared his enthusiasm for the possibility of a partnership with Rumble, an exciting sign for all of us at the company. As I started this call, our second quarter was solid, but the excitement of this business lays ahead. On Cloud, we are now partnered with the Miami Dolphins, and on Rumble Video, user engagement is off to a flying start for the second half of 2024. Without question, we are on track for our Super Bowl. With that, I'll turn the call over to our CFO, Brandon Alexandroff.
Brandon Alexandroff: Thanks, Chris. I'll now take you through our second quarter financials at a very high level before turning the call over to the operator for Q&A. For the second quarter of 2024, we reported revenues of $22.5 million, a sequential increase of 27% compared to the $17.7 million we delivered in the first quarter due to increases in sponsorship revenue, subscriptions, and other initiatives. As Chris mentioned, with an increased focus on revenue, you will see in our Q2 financial statements that we moved to disaggregate our revenue into new subcategories. We adopted these two subcategories in order to facilitate the introduction of the ARPU metric. Previously, the two revenue types that we presented were advertising and other services in Cloud. Starting in Q2, we disaggregated revenue into audience monetization and other initiatives. Audience monetization includes revenue that we generate from our user base, such as advertising on Rumble, subscription, licensing, pay-per-view, tipping, and platform fees. Other initiatives revenue includes monetization outside of our user base and currently includes RAC for publishers and Cloud. Quarterly ARPU is calculated as quarterly audience monetization revenue divided by MAUs for the relevant quarter and does not include other initiatives' revenue. For the second quarter, we reported ARPU of $0.37 compared to $0.31 in the first quarter of 2024. Today, we believe ARPU is a better reflection of our management team's focus. As a result, this will be the last quarter that we will be reporting estimated minutes watched per month and hours of uploaded video per day. It's important to note that during the early stages of monetization, we may still experience a lag in monetization during periods where MAUs spike from one-off or cyclical events such as an election, which may also contribute to volatility in ARPU on a quarterly basis. Cost of services decreased to $35.7 million for the quarter compared to $40.8 million in the second quarter of 2023 due to a decrease in programming and content costs of $5.6 million, offset by an increase in other costs of services of $0.4 million. Moving to our cash position. We ended the second quarter of 2024 with $154.2 million in cash, cash equivalents, and marketable securities, compared to $219.5 million as of December 31, 2023. And as of June 30, 2024, our programming and content agreements had a minimum contractual cash commitment of $55 million, down from $76 million in the first quarter and $106 million as of December 31, 2023. Our cash position remains healthy and we continue to maintain sufficient cash to meet our ongoing capital needs. Before I conclude, our focus on monetization is front and center, and as Chris discussed, we have experienced some headwinds associated with GARM as it relates to our advertising business. Despite the headwinds with GARM, if our sponsorship agreements with advertisers continue to perform as expected and political advertising ramps up as the election cycle intensifies, we expect our revenues to continue to increase sequentially throughout 2024. Since inception, we have always operated like a bootstrap business and this mentality remains part of our culture. As we ramp up monetization and maintain discipline around our cost structure, we continue to expect to move materially towards adjusted EBITDA breakeven in 2025. Before I turn the call over to the operator, I invite you all to join Chris this evening at 06:30 p.m. Eastern Time for an exclusive post-earnings interview with Matt Kohrs to be streamed live on the Matt Kohrs Rumble channel. That concludes my prepared remarks. I will now turn the call over to the operator to open up the line for questions.
Operator: [Operator Instructions] Our first question is from the line of Jason Helfstein with Oppenheimer & Company. Please go ahead.
Jason Helfstein: Hi, everybody. I will ask a few and I will get back in the queue. So the revenue improvement that we saw, it was like $4.7 million sequentially, also came in about $2.5 million better than we were expecting. How much of that was just given all the stuff you talked about, how much of that was RAC versus, I guess not RAC, and then from a sequential standpoint? And then I guess within it are you trying to say that, like, performance was better but brand was worse? I'll do one at a time, just maybe unpack that a bit. So within the $4.7 million sequential increase, like, how much RAC? How much not RAC? And just elaborate a bit more.
Chris Pavlovski: Hi, Jason, this is Chris. With respect to the revenue increase, it's kind of like a tide of multiple different things. What we've seen on our end is obviously RAC contributed to that. Creator sponsorships contributed to that. And one thing that's important to note is that we are in the middle of an effort of moving all the creator sponsorships into RAC either way, so that it would all be kind of coming out of RAC, hopefully by the end of the year, if not early, by next year. So that automation process that we've talked about many times in the past is in the process of us getting everything into RAC. But both RAC and that creator sponsorship portion are both contributing to that revenue increase here. It's kind of a rising tide.
Jason Helfstein: Got it. And then just - and tell me the tide. So sales and marketing was up like $3 million sequentially. Maybe just talk about Brandon, like, what was in that? Was any of that one time? And does it just tie - what does that tie to other revenue initiatives?
Brandon Alexandroff: Yes, sure. I can grab that, Jason. As we discussed it in the 10-Q, we did a barter deal with a media company whereby we purchased approximately $3 million worth of advertising inventory from them during the second quarter. So the sales and marketing expense was otherwise flat relative to recent quarters, outside of that $3 million increase. There'll be a similar advertising purchase on Rumble by that media company over the coming quarters.
Jason Helfstein: So really, like, if we were - just, like, to be intellectually honest about it or academic, that really would be more like cost of revenue in a way.
Brandon Alexandroff: No, not specifically.
Jason Helfstein: You're reselling, you bought revenue and you're reselling it, and there's some net impact. So obviously that costs roughly $3 million. You monetize it for more than $3 million, right, I assume. And so anyway, and my guess it's almost like there's, like, contra revenue.
Chris Pavlovski: Hi, Jason, I'll add a little more color to that. So this is with respect to us trying different new channels for advertising. And in the previous quarter, in Q2, we advertised on these new channels, such as, like, radio stations, to get more brand awareness for Rumble. With respect to the company that we worked with there, what they're going to do in the future is that they're planning to purchase, through advertising on Rumble in the coming quarters, which hasn't happened yet.
Jason Helfstein: Okay. Got it.
Chris Pavlovski: There's no revenue impact in Q2 on that.
Jason Helfstein: Okay. You did a barter deal. You basically except, like, you have to accrue that as basically, like, a sales payment. Was there cash out the door or like, this was a legitimate barter agreement, and just the timing didn't, like, even out yet?
Chris Pavlovski: Correct. No cash out the door. This was just a barter deal, and the timing on only one side has occurred.
Jason Helfstein: Okay. I have one more, and then I'll get back in the queue. So with respect to, okay, so if you're going to - if you're kind of going to lean into Cloud more, I mean, I imagine if you do some project with Macedonia, I mean, it wouldn't be insignificant. I mean, just look how should we think about, like, you want to take additional costs on to grow cloud relative to the focus of inflecting, like, profitability on the advertising business?
Chris Pavlovski: Can you repeat that question?
Jason Helfstein: Yes. I mean, I guess, how much are you willing to like sacrifice margin to kind of grow the Cloud business? So, I mean, if you're going to take a project with a government like Macedonia, which I have no idea how big or small that government is, but does something like that require, like, upfront costs that weigh on margins while you ramp the cloud business.
Chris Pavlovski: So without knowing the exact details of it yet, I couldn't answer that question. But at this point, right now, we've invested quite a significant amount into our cloud, and we have a lot of availability that we are looking to sell. So our goal at our company right now is to sell that availability as fast as possible to bring in the revenue into the business.
Jason Helfstein: Okay. I'll jump back in the queue. Thanks.
Operator: [Operator Instructions] Our next question is from the line of Scott Devitt with Wedbush Securities. Please go ahead.
Scott Devitt: Hi. Thank you. I had two questions. First, on the Cloud business, I was wondering if you could just talk a bit more about the Dolphins deal, like who you displaced? And why they opted to go with Rumble Cloud? That'd be helpful as you broaden out the offering, getting the understanding of the uniqueness of it relative to peers. And then second, on the core advertising business. There's a perception or opportunity, I guess, for you to broaden out the offering. And that's been happening over time in terms of the types of content that's viewed every political cycle, you get a big take in viewership that you can then keep users from until the next cycle. So I'm curious, like as we enter this - the cycle that we're in the middle of now, how you're thinking about the diversification of content, how important that is, as well as the ability to diversify the advertiser base over time to continue to grow the revenue. Thank you.
Chris Pavlovski: Hi, this is Chris. Thanks for joining. With respect to the second question, we've put a lot of effort in diversifying the content, specifically in the sports category, by bringing in a lot of sports leagues, Power Slap, Nitro Rallycross racing, SLS. And by doing that, we were hoping that that would bring in the brand advertisers for us. So that's kind of one of the strategies that we deployed in order to diversify. And with respect to the audiences, we have seen, like, very good traction on the audience side with respect to those sports leagues kind of going into different areas. And we saw that a lot in the previous, I think it was in late of 2023, and that's helped us a lot on the user side. With respect to the Dolphins, we've been able to capture a part of their business. We'll be offering a portion of their infrastructure services. We'll be taking over. I don't know exactly who that displaced, or if it displaced anybody, but our goal there was just trying to get into the door and have a partnership with them and be able to bring in their name and using our cloud services, and we executed on that. And for me, it's a pretty exciting step because it shows that although we're onboarding customers like PublicSquare and Trump Media & Technology Group and growing with them, we're now kind of hitting into the mainstream on the Cloud side, where we have the Dolphins that will be using our infrastructure as well. So this was a very big win internally for us.
Scott Devitt: And as it - thank you for that. Just to follow up on the content advertiser question. Are you starting to get indications that advertisers are becoming more comfortable with the platform as the content is diversifying? I mean, obviously, on a sequential basis, the business is growing. And I'm just curious if you're starting to see any kind of step function change in advertiser comfort in using the platform to reach consumers.
Chris Pavlovski: With respect to performance-based advertising? Yes. Obviously, they've seen success within our platform. With respect to brands, we weren't aware of GARM a quarter ago. We're aware of GARM now based on the House Judiciary Committee and what they've exposed. So we didn't realize the type of headwind we had with GARM, but now we do. And I think that our approach in trying to dismantle that and get ahead of that, I think - I don't think it's sustainable for what corporations have been doing and what GARM has been doing by kind of limiting their advertisers to go to a certain segment of the market. Now that X and Rumble have significant audiences, I think it's doing a disservice to those brands to not reach those markets, and I think they will eventually go towards them. I don't know what the timing is going to be on that, especially with what has happened with GARM, but I can certainly say that them dismantling GARM two days after we filed our lawsuit was a lot faster than I anticipated them dismantling GARMs. So we see that as a win, and we see that as moving very fast, but there's no telling when the actual large brands are going to make that turn. But we're hopeful that it will happen. I just cannot see this as being sustainable for the long term. So I do think it will happen, and when it does, I think it will be a very big step function. It will be very material to this business.
Scott Devitt: Thanks. And if I can just squeeze one last one on with former President Trump doing the interview with Elon tonight on X. And I think, I believe the way that his agreement with Truth Social works allows him to use his personal account to post. I'm just curious what your - if you guys have any views that you'd want to share in terms of how you think that plays out in terms of more content showing back up directly posted by Trump on the back of the interview tonight?
Chris Pavlovski: For Rumble, events like these are very good. They create a lot of traffic around Rumble. A lot of our creators go online, they stream, they commentate about it. It ends up being a very, very good event for Rumble, just like the debate was - the first debate was. We broke records there according to Stream Charts. And just like the GOP convention, these type of things are very positive for Rumble. So any type of major events in the political space, regardless of where it happens, are very big for Rumble and very important to Rumble. So I see that as a very positive thing, and I'm looking forward to watching that later tonight.
Scott Devitt: Same here. Thank you.
Operator: Thank you. Our next question is from the line of Jason Helfstein with Oppenheimer and Company. Please go ahead.
Jason Helfstein: Thanks. Just two follow-ups. So the outlook for minimum guarantees is pretty consistent with prior disclosure and kind of consistent with what we thought about into next year. Is there, I guess the question is, like, how confident are you that basically, you'll be able to support content cost next year with the revenue share as opposed to minimum guarantees, I guess? Does some of these delays with, again, GARM and the impact on RAC, does some of that put more pressure on you next year to perhaps extend, or do minimum guarantees? So some color there. And just a clarification question. So with some of the initiatives around, like the products, I guess you can call it the 1775 Coffee, positive. Does that show up now in the new definition of the monetizable, audience monetization? Or is that in other? Thanks.
Chris Pavlovski: I'll let Brandon answer the second part. Brandon?
Brandon Alexandroff: Yes. So the answer is yes. So audience monetization is any revenue that we're generating as a result of our users. Right. So that's advertising products such as what you're saying, subscriptions, licensing, pay-per-view, tipping, and platform fees. So, yes that would be included in ARPU.
Chris Pavlovski: And with respect to the MGs, we think that we've built a really good mousetrap going into next year with the way we're going to monetize audiences. Not just programmatic advertising, not just subscriptions, like with their local communities, but also the effect of live streaming and RAC and studio ads going in there as creator sponsorships. So we do think that we will - the mousetrap is there for us to be able to retain this type of content, retain a lot of this content. And we've seen, for example, some of these deals kind of expire already, and it has retained like academics is a perfect example of someone that continues to stream on the platform, post a deal. And we think that'll happen for various other creators as well, but when it comes to doing extensions with MGs and doing more MGs, we're only going to do it going forward, if there's a positive ROI and it makes a lot of economic sense for us. We're not going to be doing that if it does not.
Jason Helfstein: And then just to follow up Brandon, with the product deals, do those get booked for revenue? Is that gross or net? So is it like your cut of it, or is it like all the sales flow through, and then there's like COGS that come out?
Brandon Alexandroff: Yes, it depends on the partnerships that we have with the brand. So at the moment, it's all being booked at net based on what our cut is of that, if we start selling our own product, for example, we would book that as gross.
Jason Helfstein: Okay, cool. Thank you. Appreciate it, guys.
Operator: Thank you. Ladies and gentlemen, this concludes our question and answer session and also concludes the conference of Rumble. Thank you for your participation. You may now disconnect your lines.